Operator: Good day everyone, and welcome to Movado Group, Incorporated Second Quarter Fiscal Year 2025 Earnings Conference Call. As a reminder, today’s call is being recorded and may not be reproduced in full or in part without permission from the company. At this time, I would like to turn the conference over to Allison Malkin with ICR. Please go ahead.
Allison Malkin: Good morning everyone. With me on the call is Efraim Grinberg, Chairman and Chief Executive Officer; and Sallie DeMarsilis, Executive Vice President and Chief Operating Officer and Chief Financial Officer. Before we get started, I would like to remind you of the Company’s Safe Harbor language, which I’m sure you’re all familiar with. The statements contained in this conference call, which are not historical facts, may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results may differ materially from those suggested in such statements due to a number of risks and uncertainties, all of which are described in the company’s filings with the SEC, which includes today’s press release. If any non-GAAP financial measure is used on this call, a presentation of the most directly comparable GAAP financial measure to this non-GAAP financial measure will be provided as supplemental financial information in our press release. Now, I would like to turn the call over to Efraim Grinberg, Chairman and Chief Executive Officer of Movado Group.
Efraim Grinberg: Thank you, Allison. Good morning, and thank you for joining us today. I am pleased to share our second quarter performance as we make progress advancing our strategy in a challenging consumer spending environment. We improved our sales trends from the first – to the second quarter, reporting virtually flat net sales on a constant dollar basis to last year. Our operating profit declined to $3 million, driven by increased marketing investments that are expected to accelerate sales growth in the future. We maintained a healthy gross margin with the rate declining versus the second quarter last year due to the overall mix of our business. Our balance sheet remains strong with $198 million in cash and no debt. Inventory increased from the beginning of the fiscal year to support our sales expectations for the second half of the year. Across geographies, our retail partners placed orders cautiously, especially in Europe and the U.S., where customers are maintaining lower levels of inventory in a challenging consumer spending environment. Despite this, we were pleased to see a favorable response to our increased marketing investment. We saw increased interest across our brands, with unit volume in our licensed brands increasing by 10%, buoyed by our marketing efforts and the reintroduction of certain price points that we had previously vacated across our brands. In our Movado brand sales grew by 1.4% with growth in the direct-to-consumer channel, including a 21% increase in Movado.com, mostly offset by a 6% decline in our wholesale channel. While we are pleased that we have improved our retail trends overall, we recognize that the global operating environment remains challenging for retail and the watch category in particular, with a heightened level of uncertainty and we believe this will have an impact on our second half results and are updating our outlook for the balance of the year. We remain confident in the initiatives that we have put in place to support our brands as these investments are continuing to strengthen our position in the marketplace and should lead to market share growth in a difficult consumer spending backdrop. While the initiatives are beginning to deliver improving results, they are not at the level we had planned impacted by the difficult macro environment. As we look at the balance of the year, we will be focused on beginning to bring our operating expenses in line with sales while laying a solid foundation for continued support of our brand building efforts. In our Movado brand, we are excited to launch our new icons advertising campaign that we announced yesterday in a separate press release. Movado has had a long association with iconic brand ambassadors from Kerry Washington to Derek Jeter and Pete Sampras. We are introducing five new ambassadors into a new advertising campaign entitled WHEN I MOVE YOU MOVE, featuring Ludacris, Jessica Alba, Julianne Moore, Christian McCaffrey and Tyrese Haliburton. The ad campaign will also feature Ludacris’ iconic song Stand Up. This will be the most comprehensive brand campaign that we have ever launched and we will have a 360 degree media campaign throughout the holiday season, including the most important digital and social platforms, print magazines, billboards and both digital and linear TV. We are very excited to see the results and are confident that we will continue to build on Movado’s strong brand equity and to introduce new consumers to the Movado brand both online and in-store. The positive press coverage that we received online yesterday was the most that we have ever received, seven publications reaching a potential of over 245 million readers. In addition to our new campaign, we also have a number of exciting new products that we will introduce at retail, including line extensions in our very successful bold quest collection. This includes a smaller size of 35mm a new chronograph and a beautiful new automatic version for the holidays. We have seen strong success in our heritage collection and we will be introducing a new Calendoplan S Automatic assortment. With shaped watches performing well in the marketplace. We will be introducing our first tank collection in BOLD Evolution, which has received a strong reception from our retailers. In addition to Movado, improving its performance during the first half of the year in the United States. The brand is also seeing a strong response from consumers in India as we begin to grow that market. As we look at our licensed brand businesses, we continue to partner with some of the – some extraordinary brands like Coach, Tommy Hilfiger, Hugo Boss, Lacoste and Calvin Klein. While the fashion watch category has been challenging, we were able to grow our business by 2.5% for the quarter. We continue to focus on developing and introducing iconic product in both watches and jewelry and collaborating with our brand partners on our marketing efforts. Hugo Boss highlights for the coming second half of the year include continued support of the Sky Traveller and Candor families and the introduction of our new BOSSMATIC [ph] family. BOSSMATIC is a diver inspired family that features our hybrid automatic movement powered by the motion of the wearer with the accuracy of a quartz watch. BOSSMATIC will feature a six month power reserve our retailers are very excited about the BOSSMATIC family and it will be featured in a limited number of our retailers in every market. In Tommy Hilfiger, we will continue to support our iconic TH85 collection and will introduce innovation such as our new chronograph. We will also be introducing new models to our growing Baker family. Our Lacoste brand continues to perform very well in both watches and jewelry. We are very excited to be introducing this fall the LC33 family of Ani-Digi [ph] sports watches. Available in multiple colorways, the LC33 is featured on silicone straps and will be marketed with the tagline “unleash your inner crocodile”. We will be collaborating closely with our partners around the world with this significant launch. Our results for our coach brand have been strong for the first half of the year and we will continue with exciting launches as the year progresses. In our men’s collection, we have introduced charter, a fabulous automatic watch opening at $295 featuring Coach Brand ambassador Jayson Tatum in our marketing campaign. In line with the trend supporting shape cases, our customers are really excited by the introduction of our new oval family Sammy. Finally in CK, we will continue to place a greater emphasis on women’s watches and jewelry with the introduction of the CK Pulse collection and the expansion of our iconic Twisted Bezel, which will now be available in an oval bangle version. During the second quarter, our outlet stores were on plan with a decline in brick-and-mortar store sales offset by growth in our digital – in our digital business. During the second half of the year, we expect that the additional marketing behind the Movado brand will benefit our direct-to-consumer channels, including our outlet store channel particularly in the fourth quarter. Overall, while we recognize it will take time to achieve our desired results, we are making progress and are confident in our strategic plan, including growing unit volumes and improving sales trends in certain of our retail channels. We are adjusting to the consumer landscape, bringing our expenses more in line to begin to improve our financial metrics while continuing to support our brands and our customers. We believe that the increased spending in our brand building efforts will enable us to jumpstart our Movado brand and ensure that our fashion business is positioned to deliver accelerated growth as the market improves. This year has been an investment year and as we begin to plan for next year, we will ensure that our expenses are in line with anticipated sales, allowing us to return to profitable, sustainable growth. I would now like to turn the call over to Sallie.
Sallie DeMarsilis: Thank you, Efraim, and good morning everyone. For today’s call, I will review our financial results for the second quarter and year-to-date period of fiscal 2025 and then I will provide an update on our outlook for the year. Net sales in the second quarter improved sequentially from the first quarter as our marketing and product initiatives gained traction. Overall, our top-line performance was slightly below the second quarter of fiscal 2024 with net sales being down 0.7% and profitability impacted by our increased marketing investments. While we continue to operate in a dynamic global environment, we are pleased with the progress we are making on our initiatives and believe that our efforts have positioned us well for the future. Turning to a review of the quarter. Sales were $159.3 million as compared to $160.4 million last year, a decrease of 0.7% in constant dollars, the decrease in net sales was 0.3%. Net sales decreased across owned brands and company stores, partially offset by an increase in net sales in licensed brands. By geography, U.S. net sales decreased 0.3% as compared to the second quarter of last year. International net sales decreased 0.9%, on a constant currency basis, international net sales decreased 0.3%. Gross profit as a percent of sales was 54.2% compared to 55.7% in the second quarter of last year. The decrease in gross margin rate as compared to the same period of last year was primarily driven by unfavorable channel and product mix. Operating expenses were $83.3 million as compared to $79.6 million for the same period of last year. The increase was driven by an increase investment in marketing, partially offset by a decrease in performance-based compensation. Operating income decreased to $3 million as compared to $9.6 million in the second quarter of fiscal 2024. We recorded approximately $1.8 million of other non-operating income in the second quarter of fiscal 2025, which is primarily comprised of interest earned on our global cash position. We recorded income tax expense of $900,000 in the second quarter of fiscal 2025 as compared to $2.9 million in the second quarter of fiscal 2024. Net income in the second quarter was $3.7 million, or $0.16 per diluted share as compared to $8 million, or $0.36 per diluted share in the year ago period. Now, turning to our year-to-date results. Sales for the six month period ended July 31, 2024 were $296 million as compared to $305.3 million last year. Total net sales decreased 3.1% as compared to the six-month period of fiscal 2024. International sales decreased 3.1% and U.S. net sales declined by 3%. Gross profit was $161.9 million, or 54.7% of sales as compared to $171.3 million, or 56.1% of sales last year. The decrease in gross margin rate for the first six months was primarily due to unfavorable channel and product mix and the deleverage of higher fixed costs over lower sales. This was partially offset by decreased shipping costs. Operating expenses were $155.5 million as compared to $150.7 million for the same period of last year. The increase was driven by an increased investment in marketing and higher payroll related costs, partially offset by a decrease in performance-based compensation. For the six months ended July 31, 2024, operating income was $6.3 million compared to $20.5 million in fiscal 2024. We recorded approximately $3.8 million of other non-operating income in the six month period of fiscal 2025, which is primarily comprised of interest earned on our global cash position. Net income was $6.6 million or $0.29 per diluted share as compared to $17.2 million, or $0.76 per diluted share in the year ago period. Now, turning to our balance sheet. Cash at the end of the second quarter was $198.3 million as compared to $218.9 million at the same period last year. Accounts receivable was $109.8 million, up $14 million from the same period of last year, primarily due to timing and mix of business. Inventory at the end of the quarter was down $5.1 million, or 2.8% below the same period of last year. We are comfortable with the composition and balance of our inventory at quarter end. In the first six months of fiscal 2025, capital expenditures were $3.9 million and we repurchased approximately 39,000 shares under our share repurchase program. As of July 31, 2024, we had $16.8 million remaining under our authorized share repurchase program. Subject to prevailing market conditions and the business environment, we plan to utilize our share repurchase plan to offset dilution in fiscal 2025. Now, I would like to discuss our updated outlook for the balance of the year. As Efraim mentioned, we are operating in a consumer environment that is challenging for retail and the watch category, and our larger customers are maintaining lower levels of inventory. Net sales are currently expected to be in a range of $665 million to $675 million, with our second half sales expected to be flat to up low single digits as compared to last year, an improvement from the first half decline of 3.1%. We expect gross profit of approximately 54% of sales for the year and operating income in a range of $23 million to $26 million. This expectation for operating income includes beginning to bring our expenses to be more in line with our sales and to improve our financial metrics while continuing to support our brands and our customers. Based on our global footprint and our estimated jurisdictional taxable income, we now expect our effective tax rate to be 25% with an expected range of earnings of $0.90 to $1 per diluted share. As we look towards next fiscal year, we are committed to improving our financial performance. I would now like to open the call up for questions.
Operator: Thank you. [Operator Instructions] Our first question is from Michael Legg with The Benchmark Company. Please proceed.
Michael Legg: Thanks. Good morning.
Efraim Grinberg: Good morning.
Michael Legg: You mentioned coming out of this period with your increased market share, market share growth. Can you talk what you’re seeing from the competition today from a pricing perspective, from a viability perspective, and anything from a geographic perspective also? Thanks.
Efraim Grinberg: Sure. So I think what we’re seeing is the watch category overall, from luxury down to accessible, has become challenging. What occurred initially, probably in the fashion watch category, has now spread a little bit to the luxury category as well, and you’re seeing those numbers particularly come out of Switzerland. I think what we’re also seeing is that we have executed pretty well in the fashion watch category and so we’ve seen gains there. While other of our competitors within the fashion watch category are challenged. But as we all know, European markets are challenged. The U.S. economy and employment is beginning to show some signs of stress. So there are a number of different factors involved. And then we’ve seen good growth in markets like Latin America, Mexico, India, developing markets, where, as you read, the economic numbers have improved. And I think our strategies have worked. They’ve just not worked to the extent that we would have liked them to. We’re really excited about the Movado campaign that we launched yesterday. The positive reviews and coverage. I urge all of you to go on our website or to look up some of the articles that have been written about our ad campaign. It’s gotten very, very strong reviews and we’re really excited about the prospects that this campaign will yield for the Movado brand overall.
Michael Legg: Okay. Great. And then just on – you mentioned the media campaign in India there. Can you talk about, I assume that the media campaign is global. Just comment on that. And then second, on the India opportunity, can you just expand a little bit on the opportunity there?
Efraim Grinberg: Sure. The Movado campaign is predominantly in North America. We will run the campaign in India as well, and some of it will spread to China and other markets. But Movado is for us about 90% domestic. And although I do believe that this campaign will present international opportunities in the future, as well as our product assortment and innovation. So that campaign is mostly based in the United States. And we’ll run throughout the fall, really launching this month on digital platforms as well as outdoor. And then we’ll add in TV and other media into the important holiday season.
Michael Legg: Okay, great. And then just on jewelry. I didn’t hear anything on jewelry. Is that something kind of taking a backseat to the consumer returns or how’s jewelry doing?
Efraim Grinberg: The jewelry is actually outperforming watches, in our fashion brands and seems to be doing very well. Our innovation has been good and we think that, that still continues to present a big opportunity for the company as we grow that business particularly strong in markets like Europe and Mexico and markets like that. So we’re excited about that opportunity. And then we will reset our Movado jewelry assortment beginning next year that we’re really excited about as well.
Michael Legg: Okay. And then a couple of financials on the guidance. I assume that does not factor any interest rate cuts into it. It’s just more of a steady state with the consumer. Can you give us a little insight into that?
Efraim Grinberg: I mean, I think, my personal opinion is that the interest rates increases and have occurred over a several year period. I would imagine that the declines will happen in a similar fashion. Unless things get economically, the numbers get significantly worse. And I don’t think that has an immediate impact on consumers. That takes a little longer to have an impact on consumers, just as rate hikes do. So I think that there will certainly be a benefit as rates begin to come down, but it doesn’t happen immediately from a retail perspective.
Michael Legg: And then just last question. Your stock buyback has 16.8 million left. You use it to offset any dilution from issued shares. What would it take for you to be more aggressive in the share buyback? At what level of stock?
Efraim Grinberg: I don’t really think it’s about a level. I think it’s about a level of confidence in the environment versus just our own execution and performance. And quite frankly, I think we have to, we will, I know, do a better job on executing and managing our investments as we begin to look at next year. We’re not, we have no need to – we will curtail some this fall, but we are not touching our Movado campaign, believe that strongly in the importance of that and the benefit to the brand. So we start opportunities to invest in our business, but obviously the value of the shares we believe is represent a good value. So we will certainly look at that as the year progresses and as we see the market begin to evolve.
Michael Legg: Great. Thank you.
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to Efraim Grinberg for closing remarks.
Efraim Grinberg: Thank you all for joining us today. And as I said, we look forward to improving our operating performance as we begin to look into next year. And I encourage all of you to please visit the Movado.com website and you will get to really see what we have done. It’s the first time that we completely integrate a campaign at the level that we’ve done it here. And as I said, it’s gotten really, really positive review from marketing media as well as a number of different editorials in the marketplace. Thank you again for joining us today.
Operator: Thank you. This will conclude today’s conference. You may disconnect at this time and thank you for your participation.